Operator: Hello, my name is Erica and I will be your conference facilitator. At this time, I would like to welcome everyone to the MDU Resources Group 2021 Year-End Earnings Results and 2022 guidance conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer period. [Operator Instructions] This call will be available for replay beginning at 5:00 PM Eastern Time today through 11:59 PM Eastern Time on February 24th. The conference ID number for the replay is 1077076. Again, the conference ID number for the replay is 1077076. The number to dial for the replay is 1855-859-2056 or 404-537-3406. I would now like to turn the conference over to Jason Vollmer, Vice President and Chief Financial Officer of MDU Resources Group. Thank you, Mr. Vollmer, you may begin your conference.
﻿ ﻿Jason Vollmer: Thank you Erica. Good afternoon, everyone. And welcome to the MDU Resources 2021 earnings and 2022 Guidance Conference Call. With me today, are Dave Goodin, President and CEO of MDU Resources, Dave Barney, President and CEO of Knife River Corporation, Jeff Thiede, President and CEO of MDU Construction Services Group. Nicole Kivisto, President and CEO of our Utility Group, Trevor Hastings, President and CEO of WBI Energy, and Stephanie Barth, Vice President, Chief Accounting Officer and Controller of MDU Resources.  Yesterday aftermarket, we issued our 2021 earnings news release. You can find the release and accompanying information at www.mdu.com in the Investor Relations section under the financial section. During our call, we'll make certain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. Although the company believes that its expectations and beliefs are based on reasonable assumptions, actual results may differ materially. For more information on the risks and uncertainties that could cause our actual results to vary from any forward-looking statements, please refer to our most recent SEC filings.  We may also refer to certain non-GAAP measures. For a reconciliation of any non-GAAP information to the appropriate GAAP metric, please reference our earnings release. I will start this afternoon by providing consolidated financial results for 2021, discussing individual business unit results, and providing an update on our financing plans for 2022, before handing the call over to Dave for his full-year comments and his forward look. Yesterday we announced 2021 earnings of $378.1 million or a $1.87 per share compared to 2020 earnings of $390.2 million or a $1.95 per share. EBITDA from continuing operations for the year increased $3.1 million to $859.8 million. During the year, MDU Resources experienced approximately 10% higher healthcare costs, which impacted each of our business lines. On a consolidated basis, this increase was impacted by $0.02 to $0.03 per share. The increased cost, including COVID-related claims as well as general healthcare costs for our employees were the driver of this result. Now for our individual business unit results. Our construction materials business reported earnings of $129.8 million for the year down from the prior year's record of $147.3 million. EBITDA of this business decreased $11.5 million from last year to $293.4 million. Results were impacted by increased material costs on asphalt oil, as well as higher fuel costs across all of our product lines. Contracting revenues and margins decreased from less available paving work in certain states, and the absence of a few large jobs which were completed in the prior year. Asphalt volumes decreased 1.4% on less available paving work, impacting gross margin which decreased $4.9 million from the prior year. Partially offsetting these decreases is the ready-mix product line where gross margin increased $7.7 million from volume increases in nearly all of the companies markets due to strong demand and average selling price increases of 2.3%. Volumes increased over 8% from the prior year on strong private and public sector demand. However, the construction industry slowdowns in Hawaii, material costs in Alaska, and core development costs in Texas drove a $2.8 million decrease in the gross margin for the aggregate group. Labor constraints, especially for truck drivers, resulted in isolated project delays in staffing inefficiencies across the business. Turning to Construction Services results were comparable to 2020 with net income of a $109.4 million for the year. Electrical and mechanical operations results, which were previously referred to as inside specialty contracting, were impacted by lower commercial and institutional workloads, which were offset impart by strong demand in the industrial and service markets. Gross margin at this business line increased $7.5 million as commercial and industrial markets benefited from favorable change orders and successful project execution. Institutional revenues and margins decreased during the year as projects were impacted by labor and material inefficiencies.  Transmission and distribution operations which were previously referred to as our outside specialty contracting business, reported gross margin of $104.3 million for the year, a decrease of $17.9 million from 2020, reflecting the absence of higher-margin storm repair and fire hardening work that was completed in the prior year. Workloads at this business line increased from strong utility demand, including substation and power line repair projects. And now turning to our regulated energy delivery businesses. Our combined utility business reported a record net income of $103.5 million for the year, compared to $99.6 million in 2020. Our natural gas segment was the driver behind the increase in combined earnings reporting $51.6 million for the year, a $7.6 million improvement over 2020, which was driven by an increase in retail sales margins from implemented rate relief in several states. Partially offsetting these increases was increased operational maintenance expense, primarily higher payroll-related costs, as well as healthcare costs we previously mentioned, and decreased credits for costs associated with meter installation due to pandemic-related replacement delays. The electric utility segment reported earnings of $51.9 million compared to $55.6 million in 2020. Results reflect increased depreciation, depletion, and amortization expense from higher property, plant, and equipment balances, relating to transmission projects placed into service, as well as higher operation and maintenance expense.  These decreases were offset in part by increased electric retail sales margins. The pipeline business reported strong results with earnings of $40.9 million or increase of 11% over the prior year. This was driven by a $7 million benefit after-tax from the allowance for funds used during construction related primarily to the North Bakken Expansion project, as well as a 7.4% increase in transportation volumes and increased non-regulated project work at this business. As a reminder, the pipeline business divested of its natural gas gathering assets in late 2020. Current year results are absent, the gains on sales accompanies gas gathering assets of approximately $3.1 million as well as prior year gas gathering earnings.  And finally, as we look to 2022 financing plans, the company expects to fund it’s over $700 million planned capital expenditures in '22 through a combination of operating cash flows and the issuance of long-term debt. The company does not currently expect to issue any external equity in '22 unless needed to fund future acquisition growth. And now I'd like to turn the call over to Dave for his formal remarks. Dave?
Dave Goodin: And thank you, Jason. And good afternoon, everyone, and thank you for joining us here today. We are proud to be able to report the third best year of earnings in MDU Resources history. Although those results unfortunately did not meet our initial forecast or expectations. Our performance throughout 2021 is a testament to our employee’s commitment to delivering solid performance while facing headwinds such as pandemic related disruptions, supply chain challenges, and inflation, all while safely and effectively providing the essential services needed across our country.  Our 98 year history as an organization shows our dedication to responsible fiscal management, that our combination of businesses center on providing essential services and offers strong advantages when it comes to access to capital along with steady cash flows. Our highly skilled and exceptionally dedicated workforce will continue executing on our growth strategy while adhering to our tagline of building a strong America. Starting our 2021 review with our construction material operations, revenues at this business increased 2.3% from the prior year, the result of strong demand for our aggregate and ready-mix products.  Our products and contracting services are in high demand for both private and public sector work. With airport, healthcare, and commercial projects driving increases in aggregate and ready-mix volumes this year, which in turn allowed us to successfully increase average selling prices for these materials. Knife River reported $708 million in backlog as of the end of the year and currently expects over 90% of this work will be completed in the next 12 months. With the acquisitions completed in 2021, Knife River now has over 1.2 billion tons of aggregate reserves across its footprint that are estimated to last several decades.  Knife River will continue to maintain an efficient cost structure and work diligently on increasing product line margins while providing the high quality materials and services that we are known for. Having skilled employees is key to successful construction operations, and Knife River has built a state-of-the-art training center in the Pacific Northwest to hone the skills of existing team members, as well as develop prospective construction employees through both classroom and hands-on training. The accreditation program for the CDL driving school at the facility, it's nearly complete, which will help provide much needed professional drivers for our operations. The construction services group had another strong year, reporting earnings comparable to those in 2020. Job mix was the primary driver behind the slight decrease in earnings at this business, as several large jobs in the Las Vegas market were completed in 2020 and in early 2021. Our offerings at this business continue to be in high demand across many of our end markets, including substation and power line repair projects for our transmission and distribution operations, along with the repair and maintenance of electrical, mechanical, and fire suppression systems at electrical and mechanical group.  We've seen a notable increase in demand for our renewable offerings, which includes electrical vehicle infrastructure, solar power, and energy grid optimization services. All markets where construction services excel. With an all-time record backlog of work as of December 31 of $1.38 billion, we are incredibly excited to see what this next year brings for construction services. Both of our construction companies are well-positioned to capitalize on the infrastructure investment in JOBS Act, the largest infrastructure investment our nation has made in decades.  Construction materials is currently forecasting revenues to be in the range of $2.3 billion to $2.5 billion for 2022. And construction services is forecasting $2.2 billion to $2.4 billion or a combined $4.5 billion to $4.9 billion between the two construction businesses. Now I'd like to turn to our regulated energy delivery platform. Our utility companies reported record earnings for 2021, seeing the benefits of approved rate recovery in several jurisdictions, which reflects the continued investments we are making in our system to provide safe, reliable, and low cost energy to our customers. Looking ahead, the Utility Group will begin work on the re-powering of the Diamond Willow Wind Farm in the state of Montana.  We plan to re-power with new gearboxes and refurbish existing blades versus replacing them. The blades will be removed from the turbines and recorded, saving these fiberglass blades from landfills on top of being a much more affordable option. The cost of investment for the re-powering will be offset by the production tax credits received on the project. Heskett 1 and Heskett 2, our coal-fired generation units, are being retired during the first quarter here in 2022, which will then complete the retirements of all of our wholly-owned coal-generation units. Utility will begin construction on the Heskett Station Unit 4, this is an 88-megawatt simple-cycle natural gas-fired combustion turbine, which we expect will be in service in early 2023.  We continue to see solid customer growth with 1.7% combined customer growth in 2021. And we expect to grow our customer base between 1% and 2% annually looking forward. We also expect rate-based growth to grow 5% compounded annually over the next five years, driven primarily by investments in system infrastructure, upgrades, and replacements to, again, safely meet customer demand. Our pipeline business had a very strong 2021, and for the fifth consecutive year, transported record volumes of natural gas through its pipeline system. This is really a direct result of the organic growth projects the company completed over the last several years. And here recently on February 1st of this year, WBI placed into service It's North Bakken Expansion project, which has the capacity to transport 250 million cubic feet of natural gas per day, and can be increased up to 625 million cubic feet per day through the use of additional compression. This project included approximately 100 miles of pipeline, as well as a new compressor station along with the expansion of an existing station.  WBI Energy and contractor Michels Corporation completed, get this, a 15,426 foot horizontal directional drill of a 24-inch pipeline crossing Lake Sacajawea on the Missouri river here in North Dakota. This crossing of just less than three miles is one of the longest of its kind anywhere. The North Bakken Expansion project brings total system capacity to more than 2.4 billion cubic feet of natural gas per day. WBI Energy will continue preparatory work on the Wahpeton Expansion project that we announced earlier in 2021, and has additional growth organic projects in various stages of development to grow its system as it continues to work -- to be the pipeline of choice for its customers.  Activity here in the Bakken continues to grow with the current rig count of 32 rigs as opposed to even 27 just at the end of the year. Along with the ratio of gas production to oil production continuing to increase as the Bakken is being developed. That completes our individual business unit discussion. Now, turning ahead and looking ahead as an overall corporation, we are initiating 2022 earnings guidance in the range of $2 to $2.15 per share, along with an EBITDA guidance range of $900 million to $950 million. Future acquisitions are not included in the stated guidance and would be incremental to 2022 results. I am confident in MDU Resources ability to produce significant long-term value as we execute on our business plans and explore potential acquisitions along with organic growth opportunities.  We continue to maintain a strong balance sheet, solid and stable credit ratings, along with a very good liquidity position. And for 84 consecutive years, we have continued to provide a competitive dividend to our shareholders, all while increasing it for the last 31 years. Just today, we also published our refresh 20-20 sustainability report, which can be found on our newly redesigned corporate website located at www. mdu.com. we encourage you to review for more detail on our dedication to sustainability and our plans in this area going forward. As always, MDU Resources is committed to operating with integrity along with a focus on safety, all while creating superior shareholder value as we continue, as our tagline states, to be building a strong America. I appreciate your interest in and your commitment to MDU Resources, and ask now that we open the line to questions. Operator?
Operator: [Operator Instructions] If you are on a speakerphone, please pick up your handset before entering your request. We'll pause for just a moment to compound the Q&A roster. Your first question comes from the line of Dariusz Lozny with Bank of America.
Dariusz Lozny: Hi. Good afternoon, everyone, and thank you for taking my questions here. I have a couple, but I just wanted to start with 2021. It looked like the full year results came in a little bit below the guidance that you issued in November, and I was wondering if you could maybe just touch on what specifically developed in the last few months of the year that deviated from that updated forecast that you put out with Q3.
Dave Goodin: I'll start with that, Dariusz, and then maybe ask Jason Vollmer to add a little color and we can certainly get into some of the business unit drivers there as well. I would say one of the elements that we had here in the fourth quarter were continued some inflationary pressures in our business. I think in particular, you would have seen in our materials business, on a year-over-year basis, seen some differences there, and those are some pressures that we saw in that business, some were labor-related, some were petroleum-related, if you will, from a fuel supply. But I'd say in a general sense there were some inflationary pressures that lingered into the fourth quarter that were beyond what we initially thought leading into that fourth quarter as well. Jason, I know you noted in our comments relative to some healthcare costs that I'll say continue to mount throughout the year, those were a driver that were more pronounced in the fourth quarter as well. Any other areas to highlight for Dariusz?
Jason Vollmer: Yes. I think Darius, as you look at our guidance range, we come out with two. We always talk about normal weather, right? So as we look at weather in the fourth quarter, we probably saw some differing impacts there that may have had some impacts. The various business lines, whether it be our utility or construction operations. The other item I'd point to in addition to the health care costs is we did see some changes to our captive insurance program and some additional costs that we would have noted there and experienced in the fourth quarter. And you'll see some of those in the other segment if you're looking on the segment-by-segment review of some impacts in the fourth quarter that would have hit there too that were outside of what we had anticipated early in the year.
Dariusz Lozny: Okay. Got it. Thank you for that. And moving on to the '22 outlook on the materials segment specifically. Certainly we see the improved revenue guidance, can you comment maybe just digging into that a little bit what level of aggregate price increase or volume increase is embedded in that, at least at a high level. It sounded like some other market participants were relatively bullish on the '22 outlook. So just curious how you think about that, and in particular, how that relates to the inflationary pressures that you're seeing that you commented on.
Dave Goodin: Yes. I'll just touch on that and then give that second part of the question actually over to Dave Barney, Dariusz. So as you noted, you see our guidance coming off roughly at $2.2 billion revenue year in '21, where low end of our guidance is $2.3 billion to $2.5 billion for the year. So spot on there. We are seeing expansion, if you will, from a top-line perspective. And then I'll ask Dave Barney to weigh in as we see from a margin and also from a pricing perspective. Dave can give you a little bit of color there without getting into market-by-market details. Dave?
David Barney: Thanks, Dave. Dariusz, we've already implemented pretty strong increases on our aggregate side for 2020 and they've been well received in the market, so we expect that to hold through the year and possibly other increases later in the year. We've also increased ready-mix prices across the board, some of the largest we've seen in many years, and they've been well received in the market too. So we expect those pricing to hold, and same thing with contracting margins, we're pushing on contracting margins and we expect to see an increase there also. Did that answer your question?
Dariusz Lozny: That did, thank you. And if I could ask one more and this is still staying on the materials segment. You touched on the pressures, particularly on the input cost side, asphalt oil. Things like that. Can you maybe speak to that a little bit as far as, again, what's embedded in the '22 guidance around asphalt oil? Are you expecting some of those pressures to start to mitigate a little bit perhaps in the back half of the year, how we should be thinking about that on a year-over-year basis.
David Barney: Yes. Asphalt oil --
Dave Goodin: Go ahead. Go ahead.
David Barney: Asphalt oil was probably our biggest drop in 2021 over '20, but we did have a record year in 2020. And as you might remember in 2020, oil prices were jumping all over the place to I think at some point it was a minus 20. And usually when that happens, we can buy asphalt oil at decent prices, get better margins, but going forward, we expect the asphalt oil division to be about where they were last year, maybe a little better. They're still getting good returns, but they did have a record year in 2020.
Dariusz Lozny: Okay. Thank you very much for those responses. I'll pass it along.
David Barney: Thank you. Dariusz.
Operator: Your next question comes from the line of Ryan Levine with Citi.
Ryan Levine﻿﻿: Good afternoon. Maybe to start off on some of your comments around inflation. Given the recent weakness impacting our results. What are you embedding in your 2022 outlook and what gives you confidence in assuming that margins for construction more broadly will be comparable to 2021?
Dave Goodin: I'll start with that, Ryan, and then maybe ask Jeff Thiede and you heard a little bit from Dave Barney already of some of the things that Knife River is doing relative to that, but they could add a little more color. As we give guidance for the year, we do say margins are comparable in both services and materials as a year-over-year basis, we also are guiding top line to be increasing on a year-over-year basis there. If you take a look actually at margins year-over-year at services, they were comparable to 2020 actually on a year-over-year basis.  You would have also seen that margins actually slightly decrease that materials which we talked about in the last several questions with areas about some of the -- what we saw tailing in, I'll say he talked about the fourth quarter, but we kind of the back half of 2021, you would have seen some of those effects, and so Dave Barney, want to walk through a little bit, some of the pricing adjustments that we're making in particular, aggregate's along with ready-mix, and also some construction margins that would lead us to believe, margins at this point are going to be comparable. Certainly we'll update the market as we go throughout the year. I will call on Jeff Thiede. Jeff, what helps gives us confidence in services to not only with a record backlog starting the year, but to have margins comparable on a year-over-year basis. Jeff.
Jeff Thiede: Thanks, Dave. Through our estimating and project management and purchasing teams, we're in daily contact with our labor partners and suppliers to get updated costs and material availability information so we can mitigate any of the impacts due to these headwinds for we've been former customers on the supply chain and inflation challenges. Through our bid clarifications, we secure a lot of projects, had completed construction documents, and therefore, we are in a design assist mode where we're asking our suppliers and getting that information to be able to have not only mitigate our risk, but protect our customers and update them on current cost impacts if any two projects. If you take a look at the last couple of years, we've seen increases of over almost a 100% on wire, PVC pipe, over 400%. So these are significant and we see these changes occurring weekly and our teams are on top of it.
Dave Goodin: And then I'll maybe call on Dave Barney. Dave, we do some things with the materials particularly protection of some of our fuel costs and inputs on that side. Do you want to just touch on that for Ryan and others benefit here?
David Barney: Well, if you're talking about how we -- most of our fuels indexed on our contracting side, it's not protected on our ready-mix and aggregates and other materials, but we are raising those prices. The one thing we look forward to -- one thing we're seeing, Ryan, this year is we're seeing a really strong bid schedule right now, so we can be a little more picky about our margins and what jobs we go after, and we're expecting to see that even increase as we see in late Q3 when we start to see the infrastructure bill start to come into play. So with the bid schedule looking strong as it is, I would expect our margins to start pushing up.
Ryan Levine: Thanks for all the color. Maybe switching gears to some of the West Coast investment opportunities or project opportunities, can you comment on if you're still doing [Indiscernible] work today and then maybe going forward or even historically, what the cost per mile of the undergrounding work that MDU has done has been.
Jason Vollmer: Jeff, but I think Ryan is referring to one of the long-standing customers we have on the West Coast and one of your key customers, you want to kind of provide a little color around both the hardening and also maybe some of the under grounding opportunities?
Jeff Thiede: Absolutely. Since 2018 campfire, PGE's been providing and doing undergrounding of power lines in the accounting Ridge. We are seeing the initial stages of our customers obtaining the right away access and providing the engineering. Right now, we don't have any of that work in our backlog, but we are incredibly well-positioned with our field leadership, our management. We have the equipment. In addition to that, we have great feedback on our scorecard from PGE, which puts us in an exceptional position to be able to compete and get a good part of this work. We've got a track record of working for many, many years, even more than decades on with this customer, and we think that we're going to capture our share and it will be a positive impact to our financial results.
Ryan Levine﻿﻿: Just to follow up on that. So you're saying none of the work that's currently being done is being done in MDU?
Jeff Thiede: That is correct. We don't have any of the work currently.
Ryan Levine﻿﻿: Okay. Appreciate the color. Thank you.
Dave Goodin: Thanks for the questions, Ryan.
Jeff Thiede: As a follow, Ryan, PG&E is not the only customer that is doing this work, and we've got capabilities and other marketplaces, and even in southern part of the state of California, we are working on an opportunity with our company on doing some of this undergrounding work. So we've got the experience, we've got the personnel and the capacity, and we look forward to having that added to our backlog in the near future.
Ryan Levine﻿﻿: Appreciate it. Thanks.
Dave Goodin: Thanks, Ryan. Operator?
Operator: [Operator Instructions] If you're on a speakerphone, please pick up your handset before entering your request. Your next question comes from the line of Brian Russo with Sidoti.
Q –BrianRusso: Hi. Good afternoon.
Dave Goodin: Hi, Brian. Good afternoon to you as well.
Q –BrianRusso: Just to follow up on the undergrounding. Would all the work fall in the material segment in terms of the actual trenching or is there also work opportunities in the Services sector as well with the electrical side of things?
Dave Goodin: Brian, I'll start there and if Jeff wants to add, he sure can. But really it will be centered almost exclusively with our construction services group, which the outside T&D works for utilities G&T co-ops, etc. So it would rest almost entirely within the services, and as Jeff responded to the earlier question about the undergrounding and saying we really don't have much if any of that in our record backlog, anything there would be incremental to the $1.38 billion in backlog today.
BrianRusso: Okay. So you actually own and operate the trenching equipment?
Dave Goodin: We would have that capabi -- trenching, directional drilling, etc. And that would be done by our crews associated within services. There may be times where we third-party contract that depending on our own availability, but we would either do it internally or in concert with a subcontractor. Is that fair to say Jeff or did I -- would you like to add more color to that?
Jason Vollmer: Well, that's correct, Dave. And these trenches are deep and wide and it include a lot of junction boxes and faults that we could see Knife River’s participation and working with us collaboratively to be able to flex our financial strength and our capabilities muscles to be able to pick up this work for not only PG&E, but other utilities that are going to provide these bid opportunities.
BrianRusso: Okay, great. And then just a follow-up on the margin question. Margins at the materials segment, comparable to 2021 when you average the entire year, but is there going to be some unique profile of the year-over-year margins outside of just the normal seasonality of the business, given how you're raising prices or how you burn off the backlog that maybe hasn't been able to capture the price increases that you've implemented thus far, and that you might be implementing throughout the year. Look like -- go ahead.
Dave Goodin: I think your question revolves around how we're thinking of the full year in 2022, and again, at this point we're seeing comparable on a year-over-year basis, and you would've seen -- as we guided the street last year, we started the year in materials to margins being comparable to actually slightly increasing a year-over-year basis based on 20. But as we went through that year, we actually went to comparable to then slightly decreasing by the end of the year. Again, some of the inflationary impacts that we touched on earlier.  Right now with commentary heard from Dave Barney talking about advancements in pricing both in materials and particularly ready-mix, and that those are being I think Dave's words were well received, if you will. I think that gives us some confidence to say, let's start the year looking at comparable margins annually, year-over-year, and then obviously we'll update each quarter as the year unfolds.
BrianRusso: Okay. And then --
Dave Goodin: It was helpful, Brian. Your pause leads me to believe I was more confusing than helping.
BrianRusso: Well it seems that the margin erosion was more significant in the second half of 2021 versus the first half 2020 -- of 2021, just given the direction and the rapid rise in the price of oil and labor shortages, that kind of snowballed as we went through the year, so I'm just curious. Is the margin improvement to equate to comparable full year-over-year margins, more heavily weighted towards the second half of 2022?
Dave Goodin: I would say more full-year versus full-year as we're thinking about it today.
BrianRusso: Okay. You mentioned that that weather may have had an impact across the businesses obviously, it was very warm in the mid and upper Midwest during the fourth quarter, especially in December. Can you maybe break out what the weather impact was versus normal, and then quantitatively or qualitatively comment on how it impacted the individual sectors, utility versus construction?
Jason Vollmer: This is Brian -- Brian, this is Jason. I can give a quick high-level idea of some of those, and certainly in the call or others can weigh in here too with what they saw from impacts. But we did see a fairly warmer than normal fourth quarter, I would say. Now in many cases we have that mitigated at least on the gas side of the business with weather normalization or decoupling mechanisms that can be helpful in that regard. I can impact the pipeline business as well a little bit from storage and how much gets pulled out of storage or move. We did see some cold snaps during that time frame too, so it's hard to really gauge exactly what the impact would be from a gas perspective that you'll feel like we're pretty well insulated in most cases just given the price protections we have in that side.  We are a bit more exposed in electrics, so you'll see on the electric side where we were down a bit for the year there, still a very good year for the utility all the way across, but that was probably some impact for some warmer-than-normal temperatures that we would have seen in the fourth quarter of the year. Other places, I -- we always talk about precipitation can have some impacts too, and I know depends on the footprint, but for the materials business, we had some areas that probably had quite a bit more rain the fourth-quarter than they would have on a comparable basis the year before. So those are some of the impacts that we saw. So it's a mix of temperatures and precipitation probably depending on which part of the business that is. End of the day, we deal with these things every year. We've got variability in weather, we plan for normal weather, but there's really no such thing as normal weather. So we just need to manage through that, and I think our team did a very good job of doing that.
BrianRusso: Okay, great and the 5% to 8% long-term EPS CAGR is that still off of the 2020 base?
Dave Goodin: Yes. Brian this is Dave. Yes, that would be -- 2020 would still be the year that we would have as a base for the 5% to 8% again, we saw the results we just reported for 2021, but I'm confident that that 5% to 8%, it's a long-term EPS growth. It's not necessarily year-over-year growth, but long term, we still view that as valid, which we reaffirmed here today.
BrianRusso: Okay. And then lastly, you mentioned, I think in the services segment, backlog is obviously a very strong and bidding is active, but are you seeing any hesitancy or delays in projects in your services end markets due to inflationary pressures or uncertainty regarding tax credits, etc.
Dave Goodin: Jeff, do you want to take Brian’s question?
Jeff Thiede: Yes. Thank you, Brian. We're not seeing any project delays reflective of our backlog that's increased. The challenge is going to be making sure refined, capable labor, and the regions where we're seeing an increase in opportunities, which is Ohio, Ohio is very busy right now. And a number of areas for Institutional commercial work. And we've got a great company there. And we're looking at building up our resources in that area. Even though Las Vegas isn't as busy as it was in the last couple of years, there are a number of projects that we're well-positioned for an in pre -construction. So there's some timing of getting those projects up and running and that will complement the other backlog that we see in the West Coast region as well. So while we've got a great record backlog right now, it's all about execution, and our company is focused on safety and operational excellence and teamwork, and exceeding the customers’ expectations.
BrianRusso: Great. Thank you very much.
Dave Goodin: Thank you for the questions, Brian.
Operator: Your next question comes from the line of Andrew Levy with Hite Hedge.
Andrew Levy: Thank you. Can you guys hear me?
Dave Goodin: I can hear you, Andy. How are you doing?
Andrew Levy: I'm fine. I'm glad you guys are [Indiscernible] health-wise doing well. So I guess you guys have a bunch of stuff going on, whether it's higher oil prices, higher labor prices, could you just also talk about -- I guess the Feds talked to me about raising rates a 100 basis points in the short run. And maybe a 150 or more this year. What do you guys have incorporated in your kind of guidance for the various businesses? And can you just explain to us how higher interest rates may or may not affect your business for this year?
Jason Vollmer: Hey, Andy, this is Jason. I can definitely take that. We've been through the rate ups and downs here for several times here even as recently as '19, rates were quite a bit higher and then certainly COVID hit then we saw the Fed cotton rates pretty quickly there. You followed us for a long time. We have a mix of long-term debt where we lock those in fixed rate type instruments to try to derisk as we are entering into longer-term long-life projects, and also the working capital needs that we have throughout the business.  So there certainly is some sensitivity and interest rate front if we saw a jump up in short-term rates, we could have some impact to our commercial paper programs. For example, we've got lots of liquidity there, we feel good about that. We actually have built into our plan for 2020 to some increased rates. You can pick your point where you think the Fed is going to go with that this year, and we've seen anywhere from a couple increases to six or seven increases, we probably didn't build in the high end of that range, but we probably didn't build in the low end of that range either.
Andrew Levy: Okay. And then just on the oil, so I have a couple of questions and hopefully I won't get cut off, but not as many as Brian though.
Jason Vollmer: Keep going. You're -- we'll find out. You're good.
Andrew Levy: Just on the oil side. We have $90 oil, can you just dive into it for us a little bit and give us a little bit more detail on kind of what's incorporated into guidance. I know you talked about on the third quarter call with the spike in oil, I don't know if it was the third quarter call, but maybe conversations we had, was an issue, again, now you got another spike in oil and maybe that's what's made the guidance lower. But how should we think about -- we're added $90 relative to what you have in your guidance, and if oil went up another $10, what could that do or if it went down $15, what it could do at just at a very high level, I know you can't be completely specific. And then I have some other questions.
Dave Goodin: Yes. Sure. Andy, I'll start with that and then queue up Dave Barney because Dave, it's really his business that's the most primarily affected by that. And Dave did talk earlier about how they because they use quite a bit of diesel at our construction activities within Knife River, we also use diesel in our quarries, whether it's just the horsepower needed to excavate load and etc., right throughout the crushing operation and the refining operation of our aggregate. So Dave did touch on earlier that a lot of our construction contracts have indices associated with them relative to fuel pricing, and so feeling there's -- we're making allowances for that and there's also contractual language so far as prices go up, prices go down, there is adjustments with the owner of the contract, which is typically a state or a federal or a local municipality type situation. Where we have some exposure, there would be more on the delivery of ready-mix and just the general trucking outside of the construction activities.  Dave said there could be some exposure there, I would say we generally use strip pricing going forward as a baseline there, but also Dave did touch on some of our pricing adjustments that we're making, particularly ready-mix. He talked about aggregates, and that could be delivery of those products too, and so I think we certainly continued learning price and cause and effect last year and some of that I'll say we got caught by that. We're making some adjustments, have been making some adjustments now that we'll see more pronounced year in 2022 from a pricing and a recovery. Dave, do you have anything to color -- add there or did I kind of speak well enough for -- or anything you want to add?
David Barney: No, I think you covered most of it Dave, if fuel ends are concerned as we continue to see oil prices raise, it's a concern, but that is one of the reasons why we've seen some of our bigger increases on our prices this year is, to make sure we capture that fuel this year that we weren't able to last year.
Andrew Levy: Okay, and then this is kind of like a bigger picture question and something we had discussed a few years ago. If you will, your stock price. Going back to like 2018 year, you're up a few percent from that market cup, whatever that big number is. We get some of your comps on the construction side. Their stocks were up considerably since then. You have this pretty good businesses days but you trade at a PE multiple after today, I don't know. Should go by consent 12 times, 12.5 times front year.  You guys got to be start thinking about, that. That's not really working for the shareholder. Because if you look at kind of multiples and where things are, have been kind of transacting at whether it's on the construction materials side, servicing side, gas sale, DCs, utilities, you get what I'm saying, I'm not going to continue just listing stuff. But with -- isn't it time to break this thing up. Because I understand that you've been doing this for a long time, but the market is not giving you any credit for it. What thoughts are you giving on that? I understand you don't have a strategic review or anything like that going on.  But whether it's in the board room or whatever it may be, there must be some type of conversation, especially after today and really quite honestly after the third quarter, where I think the last two quarters the stock has been down 6% after each print. And then -- any kind of color, Dave, you'd like to give on that because it's really got to be a concern if you were a shareholder in this spot.
Dave Goodin: Andy, appreciate the question, and it's not a new question coming from you either as we've had this ongoing commentary about our business mix. I would say certainly there is the day reaction of the market today and we fully acknowledge that was a miss from a street perspective. And so the market react to today is a maybe not unanticipated on our part. I would point you to the fact though that as we think about our essential nature and central services that our businesses provide, we still feel that they're the right mix of businesses today. Granted, we have had in the last two quarters some surprises, if you will, around the earnings release date, I would also point out that we've had some surprises on the other side, in certain other quarters not so far preceding that, and there was positive reaction to the marketplace in those times. So I think your question is a point in time. I will say it's ongoing review that we have of our businesses, it's not something that we just do every so often that we think about it, but it's a ongoing aspect. We've, in back in time and you would know this history as well as anybody, we exited oil and gas exploration, some refining, some gas processing, and really centered on these two platforms of business.  And so I think ultimately, yes, the market is important to the reaction to our essential services and it's important that we perform at the end of the day too, and I think that will then be seen in the marketplace as well. And so we like how we're shaping up 2022 with the guidance here as well. I think there's some very positives there, whether it be top-line revenue growth at construction services, construction materials, we're coming off a record performance at Utility Group along pipeline, fifth year of record transport volumes there too. So your question I think is fair, but I would also say that, again, we like these businesses, but it's something that we need to just have an ongoing discussion from an internal perspective as if it's the right mix or not, and today we feel it's still is.
Andrew Levy: But again, maybe extended when we get to the BAML Conference or something. But just like very simplistically, like so your stock close to $26.60 on July 6th, 2018, I just picked a point in time. And now we're going to restock at $27.18. So the stock has gone up less than a dollar in that timeframe. And so that's really a good look for no better way to put it. And I'll be brutally honest because obviously I think very highly of you guys and I can see you guys trends. I mean, all of that. But at the same time as a potential investor, it's this year, and I just think you guys got to look long and hard at what's going on, because as you pointed out, you actually have five really good businesses, maybe six, I don't know the split, five really, really good businesses that I can tell you are worth more than $27 per share.  But for whatever reason, no fault of yours, it's just the way the market looks at things. Unfortunately, the market's never wrong and it doesn't seem to want to do that. And then if you add in the volatility and then look at actually who's covering you, which are it seems to be utility analysts for the most part, to dabble in other things. It just doesn't see. And you work in those want to get them out there. Heard what you guys have said, you'll need to respond to that. Something like, as a friend and as a former shareholder would really want you to take a close look at. Thank you.
Dave Goodin: No, thanks Andy, for the commentary and I would probably just add on to that and then maybe your next question. But certainly there's dividends returned to the shareholders pretty consistently, an increasing over that same period of time that's the sole reason to be invested in us, but certainly not to be omitted from the discussion here. So did you have a third question in there, Andy? I just wanted to make sure that we have. Capture that.
Andrew Levy: I'm done. Thank you very much.
Dave Goodin: Well, thank you. Operator?
Operator: You do have an additional question in queue from Dariusz Lozny with Bank of America.
Dariusz Lozny: Hey, guys. Thank you for letting one more question in here. I just wanted to follow up on I think it was a response to one of Ryan's questions earlier commenting on a strong bid schedule that's allowing you to be somewhat picky, as far as the specific jobs that you're selecting and the expectation that that might pick up later on in the year. Can you just maybe elaborate on that a little bit? What are the specific drivers of that strength that you're seeing right now?
Dave Goodin: Let's start with Dave Barney with our materials, and then after that we'll flip it over to Jeff. Dave, would you start?
David Barney: Sure, Dariusz. In most of our markets, like I said, we're -- our meet schedule is strong. Last year our North central division, which is Minnesota, North Dakota, Iowa, South Dakota. It was a little weak in that region then we're seeing a really good bid schedule there. And most of our markets, we our Idaho, Montana. So we can be a little more picky and pick and choose what jobs or what margins we think we can wait and get better margins if we're patient. So that's our plan is this year. And so I would expect we do have that carryover from last year that we weren't able to catch most of this inflation on, but I would expect as we go forward, we'll see better margins.
Dave Goodin: And then Jeff, would you touch on those strong bid schedule that you're seeing relative to services?
Jeff Thiede: Yes. We continue to see demand for our business in the T&D segment which covers the power, gas, communications, fiber optics that is continued to remain strong in the Midwest, Rocky Mountain in the western regions. Also got high demand for our wire streaming equipment and our tools. Electrical and mechanical group bid opportunities are very strong and mid-Atlantic, were very close to securing a significant project there. Not reflected in the backlog yet, but we've been told we're going to get the project that will help us in that area of the country.  Ohio, as I mentioned, particularly Columbus continue to provide increased level of mission-critical institutional and manufacturing projects and in the Midwest, Rocky Mountain, Southwest, Las Vegas regions and also the western part of the country. Commercial, institutional, and renewables and service [Indiscernible] we’re seeing still good opportunities, challenges, labor, of course, and materials as I've mentioned with supply chain. But again, our teams are communicating like they never have before. Our suppliers and our customers. And we're all over that challenging and we look forward to going into this year with record momentum in backlog.
Dave Goodin: Dariusz, was that helpful?
Dariusz Lozny: That was very helpful. I appreciate you letting me ask one more question here. Thank you very much.
Dave Goodin: You bet. thank you. Operator, are there any more questions in the queue?
Operator: This marks the last call for questions. [Operator Instructions] This call will be available for replay beginning at 05:00 PM Eastern Time today through 11:59 PM Eastern Time on February 24. The conference ID number for the replay is 1077076. Again, the conference ID number for the replay is 1077076. At this time, there are no further questions. I would now like to turn the conference back over to management for closing remarks.
Dave Goodin: Thank you, Operator. And thank you all for taking the time to join us here on our 2021 earnings and 2022 guidance call today. We are committed to building a strong America and are optimistic about our opportunities in front of us in 2022 and beyond. And as always, we appreciate your continued interest in MDU Resources and thank you for your participation here today. And with that, we'll turn this call back over to the Operator.
Operator: This concludes today's MDU Resources Group conference call. Thank you for your participation. You may now disconnect.